Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Legacy Housing Corporation Third Quarter 2022 Earnings Conference Call. At this time, all participants are in listen only mode. After the speakers presentation, there will be a question and answer session. [Operator Instructions.] Please be advised that today's conference may be recorded.  I would now like to turn the conference over to your speaker, Mr. Duncan Bates, President, Chief Executive Officer. Please go ahead, sir.
Duncan Bates: Thank you. Good morning, everybody. This is Duncan Bates, Legacy's President and CEO. Thank you for joining our call today. Before we begin, may I remind our listeners that management's prepared remarks today will contain forward-looking statements, which are subject to risks and uncertainties, and management may make additional forward-looking statements in response to your questions. Therefore, the company claims the protection of the safe harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from management's current expectations. And therefore, we refer you to a more detailed discussion of the risks and uncertainties in the company's annual report filed with the Securities and Exchange Commission. In addition, any projections as to the company's future performance represent management's estimates as of today's call. Legacy Housing assumes no obligation to update these projections in the future unless otherwise required by applicable law. We are excited to share our third quarter 2022 results and discuss our business today. We look forward to hosting earnings calls on a consistent quarterly basis in the future. I am joined today by Curt Hodgson, Legacy's Executive Chairman and Kenny Shipley, Legacy's Co-Founder and Executive Vice President. I will discuss our third quarter performance and provide additional corporate updates. I will then turn the call over to Curt for final comments and questions. Net revenue increased to $57.3 million in the third quarter, representing a 1.5% improvement over the third quarter of 2021. The increase resulted from price increases implemented over the past year, offset by a decrease in shipments from our Eatonton, Georgia facility. During the third quarter, we delayed shipments and slowed production to improve the quality and consistency of homes manufactured in Eatonton. We are now shipping the delayed homes in addition to our current production and plan to meet or exceed historical production levels by early 2023. Although this process impacted third quarter revenue, the changes will significantly benefit our customers and our business moving forward. Interest revenue from the company's retail and commercial loan portfolios was $7 million for the third quarter, slightly down from the third quarter of 2021. The reduction was due to large payoffs on the commercial loan portfolio. Both the commercial and retail loan portfolios continue to perform extremely well. Income from operations for the third quarter of 2022 was $16.9 million, an increase of 10% from the third quarter of 2021. This increase was primarily driven by seven price increases since the third quarter of 2021, lower cost of sales and an increase in other revenue, offset by lower volume from Georgia and higher SG&A. We plan to continue holding firm on price while reducing our raw material inventory to take advantage of lower material costs over the next few quarters. We will also focus on ways to reduce SG&A up this quarter due to increased warranty costs, salaries and incentive compensation and professional fees. Net income of $14.7 million for the quarter was a 13.4% increase over the third quarter of 2021. Basic earnings per share grew to $0.60 per share in the third quarter, an increase of 11.1% from the third quarter of 2021. Legacy delivered a 22.5% return on equity over the last 12 months. At the end of the third quarter, Legacy's tangible book value per share was $14.84. We took an important step in our capital allocation strategy this quarter by implementing a $10 million stock repurchase program. We will consistently weigh stock repurchases against other capital uses to drive long-term value for our shareholders. Lastly, we ended the quarter in a net cash position with $11.3 million in cash and no drawings on our line of credit. Driven by our in-house financing, our backlog is strong across all manufacturing facilities and provides visibility well into 2023. As the economy slows, we believe investors will begin to see the value of our integrated business model with multiple recurring earnings streams. We are long-term focused and plan to be opportunistic from a growth standpoint as asset prices in our broader industry moderate. Now I'll turn the call back to Curt for final comments and questions. Curt?
Curtis Hodgson : Thanks, Duncan. It's nice to be back on an earnings call. 2022 has been full of distractions for our entire management team, including those of us that are on this call. We've had auditor challenges, account challenges, regulator challenges this year more so than probably any year I'm familiar with in this industry. We spent entirely too much time on associated administrative tasks and not enough time running our business and selling our products and doing what we do. Moving forward, this is where I want our management team to get back to focus. There are so many things that we can improve in our business. I mean managing inventory, reducing SG&A, improving manufacturing quality, etc., and we have multiple ways to grow the top and bottom line, land development, new products, some geographic opportunities. Now that we're through the distractions, and I pray that we are through them, Kenny and I plan to work with Duncan on improving and growing the business. Our backlog is strong, probably as solid as anybody's backlog in the industry, and we're very optimistic about 2023. Back to you, Duncan.
Duncan Bates: Thanks, Curt. Operator, that concludes our prepared remarks. Please begin the Q&A.
Operator: [Operator Instructions] One moment please while we compile the Q&A roster. Our first question coming from the line of Mark Smith with Lake Street Capital.
Mark Smith : Good to have you back on the call here. First question for me is just -- can you guys walk through a little bit more in depth what happened in Georgia? What kind of prompted the slowdown and focus on the operations there?
Curtis Hodgson : Duncan, do you want it or do you want me to do it?
Duncan Bates: I'll let you take it, Curt.
Curtis Hodgson : No, you take it.
Duncan Bates: All right. I'm happy to take it, or go for it Curt.
Curtis Hodgson : Yes, I just got back from Georgia yesterday so I probably have a better perspective. But -- So, we were having some quality challenges in Georgia due to supervising challenges. And that was getting more and more obvious as the summer progressed and we had a decreased production and increased regulatory scrutiny in the State of Georgia, who is our regulator there. In concert with our IPA private regulator that we use in Texas has been rebuilding our processes and our training systems. It slowed production down to about half of ordinary for the months of August and September and even October. And at the same time, we delayed shipping houses from Georgia while we did it. Significant inspections of the product to make sure the quality was there. I don't have the exact metrics of what we shipped in Georgia for the third quarter. July as part of the third quarter shipments were somewhat normal then. But in August and September shipments were probably 10% of normal. The good news is the shipments have restarted with [indiscernible] probably another 14 today. We have a couple of hundred houses in the yard that are almost all now ready to be shipped. So, we expect to have our yard down to normal levels by Christmas, probably even before, which will have the advantage of having a better-than-normal fourth quarter. Production is about three per day in our normal production in Georgia before this slow -- So, we had about a 40% decrease in Georgia. But the other -- pretty solid five, six a day and commerce is actually up to five a day from four days. So, we had an increase in some Texas production, mild increase, in Texas production, but a decrease in Georgia production. I'm confident -- we spent some money, we've hired independent consultants. We spent some money training our Georgia personnel and kind of retooling that whole deal, maybe decreasing some options, trying to keep it simple. Our backlog is solid, I believe we're 800 [for] backlog in Georgia. So, even four per day, we've got literally a 200-day backlog in Georgia pretty solid orders, almost all that have deposits. So, we hit bottom. I would say we bottomed probably early October, been working our way out of it. Haven't been feeding a lot of details because it's been changing almost on a daily basis. I think we're out of the woods, but we still have some remediation to do on some products that got through, got delivered that probably do have some warranty issues. So, our SG&A expense was up because -- but we had to go out in the field and perform warranty that we didn't expect to have to do mostly in Georgia. I hope that answered your question, Mark.
Mark Smith : Yes. No, that is helpful. As we look at labor today, are you able to kind of get the people that you need and run as efficiently as you would like today? And then even if you want to talk about kind of cost of labor and what kind of inflationary pressure you've seen there?
Curtis Hodgson : Labor continues to be a challenge. We're now -- we track it per square foot. Our labor cost on the two factories that are running normally is approximately $9 per square foot all-in. That's up from $4 a square foot pre-COVID and it wasn't because so much a doubling of labor as it was, I don't know, productivity slippage. We're now using more people to build the same number of houses that we did pre-COVID all at higher wages. We have had a lot more applicants the last 60 days than, say, the last year. And I don't know if that's caused by our industry or the housing industry or whatnot. These are carpenters that know how to use tools and as regular housing slows down, those people have come inside to get a job in our factories. Because this might be a good thing, housings slowing down, lumber's down in the 400s today, which is not quite pre-COVID levels, but close to it, steel's down 30% from its peak. So, if the housing slowdown is real, that should help us with labor. It's just beginning to show up at our plants.
Mark Smith : Okay. One question just on the loan portfolio. As we look at the MHP notes, we saw good sequential growth in that portfolio, but it looks like the rates were squeezed a little bit there, which surprised me just given that a lot of this is floating rate. Anything to speak to there?
Curtis Hodgson : We just took a position that we weren't going to move rates up, maybe even give us some price discrimination on rates. But we also have not had one single price decrease for, I think, almost all of our competition has had that. So, it costs the same per month to buy a house today through our finance arm, whether it's retail or wholesale, as it did literally six months ago or even a year ago, whereas if you've had a price decrease and you've had a corresponding rate increase I think the actual cost per month to mobile home parks from our competitor product has gone up maybe 5% or 10% even if prices have gone down. So, we are -- we don't borrow hardly any money. We're using our own capital to do this. I don't know how long rates will be up, but we do not intend to raise rates, and we've taken on some big customers that have the power to borrow away from us at competitive rates. And we -- what you're seeing is some of our bigger customers were able to negotiate a slightly better rate than they were last year. So, that's what they've done to us in exchange for accepting our pricing strategy. We have probably more than half of our backlog is mobile home park backlog that we actually have deposits on. It's not like we're selling to dealers without deposits. Almost probably 70% of our backlog has a deposit in hand.
Mark Smith : Okay. Good. And then just the last question for me. Like the announcement of the buyback, but can you guys just talk about other uses of capital that you have, other opportunities and kind of what you're looking at as far as maybe the next 12, 24 months where you would put cash to work.
Curtis Hodgson : Duncan?
Duncan Bates: Yes, I'm happy to take that one. We've been so focused on all these administrative tasks over the past six months and just getting caught up on the filings where we haven't published our formal growth plan moving forward. We've historically pumped the cash that this business has produced back into the loan portfolios. We can continue to do that at attractive rates of return. And the portfolios at this point are fairly self-sustaining so we're not borrowing to loan. We have started to see more opportunities and Curt and I have been working together figuring out what else can we sell, and I'll tell you that there's similar products that we could manufacture and sell that have financing components in our industry or around our industry, something like temporary -- getting into the temporary classroom business. There are certain geographies that we want to be in. So, we've got some interesting targets that would put us in our current industry, but in a geography that we have trouble hitting now. And we're -- I think we'd really be able to improve these businesses with our sourcing and with our financing. So, new products, new geographies. The 30 area, and I know Curt had touched on this pretty significantly in prior earnings calls, I mean we've got a significant land position in Texas that is at various stages of development for communities. And even with the slowdown, if you look at where these communities are trading compared to the capital that we would need to deploy to actually get homes on them, there's significant upside. And that's something that we're -- that Curt and I are going to spend a lot more time on as we head into the end of the year. So, a long way of saying we've got a lot of opportunities, but with the share price where it currently is and the buyback program in place, we're going to weigh them against purchasing shares as well.
Operator: Our next question coming from the line of Tim Moore of EF Hutton Group.
Timothy Moore : Curt mentioned the Georgia backlog of about 80 units. Can you give us a sense of the overall backlog? Is it six to seven months of possibly slower revenues from the Texas area to plants? Or is it probably less because Georgia got delayed a bit and lost some production for a while.
Curtis Hodgson : I think it's six months. That's if anything a little bit conservative because I don't trust backlog that doesn't have deposits. I mean -- but I think that we just had a couple of shows. We took several hundred orders at those shows. -- when you add those, and there was mostly Texas orders. I think that we're -- I think we can see our way through to late spring. And quite frankly, with the natural flow orders we get anyway, we probably, knock on wood, have 2023 pretty well spoken for.
Timothy Moore : Great. That's wonderful to hear. One follow-up question I had was about the Georgia facility. It was nice to get the color around that, what happened in August, September and even October. If you put a revenue number on that, was it something like 100 units? I mean, could that have been $6 million of sales that got pushed into the fourth quarter and maybe January?
Curtis Hodgson : Well, pretty good with arithmetic. I think we will ship 100 more in Georgia easily in the fourth quarter than we would if we didn't stack them up in the third quarter. And I think that's at least 100 and your number of $60,000 per floor is pretty close, about 52,000, 53,000 per floor is the wholesale revenue associated with that inventory. So, it's probably going to lift sales $6 million more in the fourth than would be normal. But hopefully, by January, we'll be back at four or five a day, and revenue will be back to our expectations. Now we're making it up in other places in the company, obviously, because the earnings is there, book value increase is there. But -- and this was a blemish that we announced in our Q from last time. We didn't quantify it because it wasn't quantifiable. And in the end, it was because we were moving most of the profits from one quarter to another. We don't look at it as significant. But bottom line is we decreased production by 50% during this error, and that's something we could never get back. So, three months of 50% deal. So, for the year, we will have lost probably call it, three per day for 60 days, we will have lost 200 floors that we can't get back. So, that revenue is being lost.
Timothy Moore : That's really helpful. Thanks for putting a revenue estimate around that. I think people understand that better now. What about just -- I know you provided some commentary on labor. I was just trying to wrap my head on how does the labor situation and shortages today compared -- the three plans compared to maybe the worst point earlier this year when there was the most shortages. I don't know if you're playing whack a mall and sometimes it's in Fort Worth and Commerce in Georgia. But is the labor situation overall an improvement from when it was really a shortage earlier this year.
Curtis Hodgson : Well, this is just my gut feeling. I think that the labor situation will continue to get more expensive, even if we go into recession. I mean, the unemployment rate is 3%. No, we're not paying anybody less than we were today now than we were before. I think labor is a problem. We do -- we have less and less people that want to work to be more generous, those people [that build the] houses. So, per square foot -- go up and down. And so, it will be offset by [indiscernible].
Timothy Moore : Okay. No, that's helpful. For your pricing, I know Duncan mentioned you're holding firm on it. Is there really not more sensitivity by homebuyers and park operators because your competitors are still taking price increases lately, and it's all kind of relative? Is that why you have confidence you don't have to decrease prices anytime soon?
Duncan Bates: Well, the real reason for not decreasing the prices is because we also haven't raised the rates on the financing. And that's something that the importance of the financing is something that I found really surprising about this business. I think if you look at backlogs across the industry and certainly in certain geographic regions, they're not near as strong as ours, but it's really -- it's driven by the in-house financing. And so, if that person is not able to obtain financing from anybody else, we'll finance them. They have less room to negotiate on the price.
Timothy Moore : That's helpful. That makes sense. And you were about to maybe get into this earlier, but can you provide an update on the land development progress? And does Horseshoe Bay near Austin have any homes up on it already? And just maybe if you can give us some color on where you stand with sewer and water systems and the plan maybe a deal that will happen over the next year? If you can kind of give us some color on that, that would be great.
Curtis Hodgson : I'll take that one. We have a total of seven properties in the State of Texas, three in the Fort Worth area, two in the Austin area and then two in the San Antonio area. The three in Fort Worth have been essentially dormant during these distraction periods because management was so involved in in these other issues. And then in Austin, breaks down Horseshoe Bay. We are very slowly making progress in Horseshoe Bay. I would say we have about a $6 million investment so far in Horseshoe Bay. We haven't really needed the production so we haven't been focused in on it, but we are very slowly adding a couple of houses in the quarter to it. I think we sold about four. We are opening a sales lot there in Marble Falls nearby. That will help. We've been three years trying to open that sales lot getting through the city of Marble Falls. I think we're 95% of the way through. We're building the entry entrants this week and that should help. The Del Valle project, which is the pillar over 1,000 units, we have virtually every permit we need finally from the electric people, the water people, the county people, the water treatment people. So, entitlements have been difficult to get politically, but I don't think there's anything that we need to further construction there other than getting on with it. We're probably 10% complete, water in and a good part of it, rough roads in on a good part of it. The electric has been paid in advance, kind of funny how that works. They say, well, we could prepare a contract, it will take eight months per contract or you could just send us the money. So, we're gambling. We sent the election company $1.6 million without even a contract. That's just the nature of the way things are nowadays. So, we're progressing there. The [tune of] San Antonio, one in San Antonio proper, over 300 lots. We now have all the titles that we need on the entitlements we need, and we're moving towards getting that done and one in Atkins. It's a pretty small property, nice property. I play with the idea of selling it because I've got an appraisal on that's three times what we have in the land. I don't know that we're -- we'd be better off developing into a mobile home property as opposed to selling it for 3x what we paid for it. So, that's probably a decision that we'll make this fall. So, there's the update on the seven Texas properties. We don't own any other properties besides those seven.
Timothy Moore : That's terrific. That was very helpful to hear. And my last question is really around your unique vertical integration advantages. Considering that there's such an affordable housing shortage in the U.S. and it's been compounded drastically the last two years with, I don't know, the average housing price up, single family up, 40%, 50% and higher interest rates. I'm just wondering, can you use this economic environment to maybe take advantage of beefing up some of your vertical integration advantages and expanding into more things like possibly air conditioning or specialist building products or countertops. Do you think that those would make sense to get more vertically integrated on? Is there anything that's jumping out at you?
Curtis Hodgson : A little bit of that. I mean the one that I've looked at before is sheetrock manufacturing, but that's a pretty big business to get into. But we're as vertical as anybody in the industry. If anything, during these decreases, it was -- it made sense for us to be in the trucking business if we could do it cheaper than other people. But when we moved 24 houses yesterday in Georgia, 20 of those were pulled by independent contractors, quite frankly, at a cost below what we think our cost is. So, some of the slowdown, particularly caters to regular housing like countertops, may be in a position to buy better than we ever have or better than we have in the last many years just through normal channels if we'll say how much is it -- could you, you'd probably say, I'll take it, which is a whole other discipline I have to retrain our purchasing department on. We used to be -- I mean, a year ago, we'd just say send it to us, we don't hear what the price is. Now with inventories building and supply of building, we've got to get back to the base as how to buy things competitively. I think everybody is going through that whole thing. Kind of fun. It's back to will you, would you, could you as opposed to can you pretty please get it to me. That's completely different mentality than it was just a year ago or just eight months ago for that matter. Earlier this year, we did have shortages. We were having to ship things without refrigerators without dishwashers with furnaces sometimes not being there. Now we don't have a single shortage in the entire company. Everything that we put in a mobile home we have an ample supply. That's all over the last six or eight months.
Timothy Moore : That's terrific to hear. That's nice to know that's not a bottleneck anymore and hopefully, it stays that way. Well, it's been nice to see the enhancements in the accounting system and be on time reporting this month. So, I really appreciate it, and that concludes my questions.
Operator: Our next question coming from the line of Alex Rygiel B. Riley Financial.
Alexander Rygiel : Curt, real quick, can you address the macro environment here? We've got mortgage rates that have increased significantly. We've got slowing demand at a very fast pace for stick-built new housing. Clearly, there's uncertainty about sort of the economic outlook over the intermediate term. So, maybe with that backdrop, can you sort of talk about how that has, or could, impact Legacy in your strategy?
Curtis Hodgson : All right. Alex, I was hoping you'd tell me. You know exactly what's happening. The site builder homebuilders are suffering because people don't want to buy houses at 7.5% or 8% mortgage rates. In our industry, there hasn't been much increase in financing costs, not even among our competitors. So, it will be interesting to see if all boats rise and fall with the tide or whether or not there'll be a disconnect between the manufactured home sector and the site builder of the home sector. I look for continued declines in the [site] of home sectors. It costs $100 -- in Austin, Texas, if you want to buy a starter house at today's mortgage rates, you better make $150,000 a year or you're not going to be part of that market. That's up significantly from six months ago. And I don't know what will happen to 30-year mortgage rates, but I don't think they're going to go back down to where they were overnight. So, I think the single-family housing market is going to be suffering for a while. We have people on our team that are looking into opportunities we might have picking up some scraps at below replacement cost, and we're looking at that. So, there is going to be opportunities of people selling things for below replacement costs in the not-too-distant future. How does that impact us? Well, earlier, Alex, we talked about our healthy backlog. I don't think that's necessarily across the board. Our competitors are not working necessarily five days a week. They are not as integrated with us with financing. I think that's a significant difference. So, they are seeing some easing in their backlog. Statistically, the industry still shows record production as late as September at the last numbers we have, up, I believe, 14% year-over-year. But October is not in it yet and November is a third of the way through. I think there's going to be pressure in all sectors. This recession if there is one, is going to be fairly significant. But normally, higher interest rates are not bad for what we build. You and I go back a long way, and we provided data that the all-time high in 1982, when mortgage rates were at 8%, it was a great year in the mobile home business. I'd like to think that that's the same way it's going to be this time around, but who knows. We are nimble. We don't have a lot of commitments. We can get smaller if we need to. We have enough cash and borrowing ability to buy anything opportunistic. I'd be surprised if our ever increasing book value will take a break during all this. I think you'll still see double digit increases in book value every year from Legacy for the foreseeable future. I don't think that will be true in homebuilding and I don't think it will be true in some of our principal competitors that are, let's put it this way, more committed to an ever ongoing model that may not come to pass.
Alexander Rygiel : And then Duncan, as I sort of drill down on the balance sheet here, it looks like customer deposits, the balance and the balance sheet was about $12 million at the end of the third quarter. That's up quite a bit from like a $5.7 million or $6 million a year ago. So, what's changed there? Obviously, understanding that there's a fair amount of homes that are sitting in the yard in Georgia that probably equates to some of that. But have you also increased the deposit requirement by the buyer? And has that provided you greater visibility in closing predictability or whatnot?
Duncan Bates: Yes, Alex, I may have to get back to you on the exact increase. To my knowledge, we've not increased the actual deposit amount. That said, Georgia is a contributor. And we also have a large customer that we're building a significant amount of homes for that put down a very significant deposit for us to build homes over the next few years. So, I think that's a big piece of it as well.
Alexander Rygiel : And then lastly, either Duncan or Curt, consignment sales came down in the third quarter. I believe that's mostly sales to some of your independent dealers. How does inventory out in sort of the channel look right now? And is there any risk that as you kind of go into year-end, there's some sort of slowed purchase activity because of elevated inventory or weakening consumer demand?
Duncan Bates: Curt, do you want to take that one? Dealer inventory?
Curtis Hodgson : Alex, I was a little distracted, but something to do with inventory. Are you talking about -- what kind of inventory, raw materials, finished goods, what kind of inventory?
Alexander Rygiel : No, finished goods, finished homes in the channel, though, inventory out the channel. Inventory that's at your independents out in the yards.
Curtis Hodgson : I think the company-owned stores across the board have ample finished good inventory, especially relative to sales. I think everybody has put the brakes on filling up company-owned stores with more inventory, probably including us. So, I look for inventory to be stable, maybe a little bit on the high side, but I don't look for any positive impact by people adding to their inventories. On raw materials, I mean, I'm in touch with a lot of the raw materials people. I think inventories are beginning to stack up at all levels, including distribution. And everybody is going to be crunching inventory. I wasn't all that pleased with our financial statements, which showed increased inventories of both of our materials and finished goods because we just got in the habit of being glad we could buy it on the raw materials side, and we have way more inventory than we need. So, I think inventories in general across the board on a macro level are increasing. And I think that the economy in general is going to have to come to grips with that in the very near future. I'm sure that's -- I haven't talked in six months or so, but I think you would agree that inventory levels are high in almost everything and growing. So, we're very conscious but our raw material inventory will be less in the next reporting period, hopefully, by something significant. Our finished inventory will be no bigger and maybe even down a little bit, so tend to increase either finished goods or raw material inventory between now and the end of the year.
Operator: One moment our next question in queue. And our next question coming from the line of [Brian Glenn] with [Alcott Partners].
Unidentified Analyst: Duncan for your first public call, it sounds like you've been doing this a long time. Congrats to both you and to your whole team on delivering what you said you were going to do.
Duncan Bates: Thanks. I really appreciate it. It's been a long few months. One of our team members reminded me that we've done a year's worth of public filings in a proxy in about 120 days. So, it's -- we're excited to get past this point.
Unidentified Analyst: Yes. That's awesome. I appreciate all the efforts. And Curt, nice job on the hire at the leadership level. I just have two questions. I have two questions. I'll try to keep it quick. I guess the first is very broadly. If you look at your balance sheet for the company over the past two years, assets have grown $100 million. It's a big jump, and that's funded strictly by organic growth in equity, right, which is earned, and it's an impressive number. Liabilities have come down a tad. When you got -- is that strictly a byproduct of how the company is run, is that a deliberate decision? You obviously don't need leverage when you generate 20% returns on equity. It's unnecessary when you put up metrics like that. So, is that just geared up in case something happens opportunistically? Do you guys talk about that from a top-down level? Or it's just something that has happened over quarter after quarter? And here we are.
Duncan Bates: Curt, do you want me to take that one?
Curtis Hodgson : Sure.
Duncan Bates: All right, you can fill in. This business has always been run extremely conservatively by Curt and Kenny. And I think if you're walking around the office, they'll tell you that they've built Legacy by making it and saving it and have always been extremely frugal and have continued and have been in the industry and not gone bust for longer than anyone. And so, I think it's a conservative approach. From my standpoint, we're excited about the next couple of years and potentially having a slowdown here because I think there will be opportunities to make investments in this industry and in surrounding industries at attractive prices because of our conservative nature and because of our balance sheet. But I can assure you that we're not going to go out and overpay for anything. So, I'll stop there. And Curt, anything to add?
Curtis Hodgson : No, I don't think there's a lot to add. I do think that our -- we've kind of reached the point of equilibrium in that unless we come up with a different industry and investment, a different product, I do think you'll see our cash position grow and that's not what we want. We'd rather use a little bit of leverage. So, we're hoping to find something that is a deal or some use of capital that allows us to -- we're still borrowing money at SOFR plus two. So, our borrow rate is extremely low, which we'd like to integrate with our other deals. It's just -- there just hasn't been many opportunities. There was a recent acquisition that we're very familiar with, that we chased ourselves about a year ago, but this is not the time to buy production capacity based on yesterday's metrics. If you could base it on tomorrow's metrics, maybe, but things are just still priced above replacement cost. If we were going to grow, organic growth is still probably where we'd go. There's not really acquisition growth laying it at our feet right now. There may be. Maybe things will disintegrate and if they do, we'll be there with our powder just like we always have been. We're hoping that occurs. But if that doesn't occur, we're going to have to look for opportunities in either this industry or ancillary industries to deploy cash and make better than SOFR plus two, which I think we can do. I think there's plenty of opportunities to do that. I mean, I'm not that pessimistic, the sky is falling. I think there's plenty of places to make an 8%, 9%, 10% return on invested capital. And if we could find some of those in this era I think we will. I think we'll be doing that. There's a few we're looking at now. These seven developments are a great use of capital. All in, that's probably $50 million to $100 million worth of capital that would be deployed [on a finished] basis and I'm cool with that because there's no doubt in my mind that places to put these things to be hard to find in two or three more years, and we're going to want all the lots that we can harvest.
Unidentified Analyst: That's helpful. One of your peers brought up, and this was at the industry-wide level, not necessarily specific just to them. But -- and you guys alluded to it, it was asked a little bit, but there was a contraction apparently in floor plan financing. And when you guys look at opportunities, and just educate me, is the space still so crowded that wedging into a third-party dealer network because you have your own financing that you can provide at the floor plan level at the dealer level on a consignment basis. Is that something it's just too tight there and you guys see other stuff and it's too short term? Or is that one of the opportunities you're thinking about?
Duncan Bates: Curt, I'm happy to take that. I mean, we've been in the consignment financing business for a long time. And Curt and Kenny have put a lot of dealers in business across the South with their financing over the years. And so, we have a really loyal independent dealer network that sells our homes and we finance them. We've been going through a little bit of a change with our consignment business to get to more of an industry standard where we're actually selling the homes and financing them versus just like a share consignment agreement where they can give them back to us. And so, that's a change that investors will see over the next couple of quarters as we continue to shift towards like to a true sale that we're financing with no takebacks and we're well on our way to doing that. So, I'll stop there.
Unidentified Analyst: Okay. That's helpful. And I lied, I guess I'll ask a third question if you guys don't mind. There's a -- Duncan, you and I have talked about companies even outside of the industry, it's always been fun discussions. And there's a company, it's based in Dallas. It's totally outside of our industry. It's a different business model. They do salvage vehicle auctions. But one thing that I've learned from them over 10 years is something that you can't buy necessarily is time. And I don't view -- the average person may say, oh, a mobile home park as a nimby aspect and I think that's kind of a pejorative term. It's not nimby to the people who live there. That said, there's struggles, and you've alluded to them in terms of getting the proper permits to build those seven and possibly more sites in the future. And if you look at this other business, one of their competitive advantages besides other attributes that aren't similar to Legacy is the fact that they have this pipeline and this wherewithal and in some cases, to build a yard, it takes them six, seven, eight years in terms of getting the required permits. And you see a little bit of that with what you guys are dealing with, and it's something that is unique, and it's tough to replicate for a competitor, especially ones with weaker balance sheets or a thinner network in terms of national presence but not a dense presence in any given region. Do you -- the question there is do you guys see it that way as well? Is there some sort of strategic edge in having the wherewithal to wait two, three, four years where you're carrying that asset on your balance sheet regardless of how it's financed to see it through to a finished product?
Duncan Bates: Yes. I think that is certainly the case. I mean one of the largest headwinds in this business is where do you put them. And Curt and Kenny have done business in Texas, their entire careers and know attractive areas very well and certain dynamics that would make for an attractive community investment. And we acquired this land years ago, and it takes a long time to get it to the point where you can actually put homes on it. I think moving forward, we'll try to accelerate that. And we're always on the lookout for new opportunities. The other thing -- the other factor though that I think helps us -- we'll continue to do our thing and we'll have flexibility around what we want to do with these properties for the long term. But there's been a lot of institutional capital that's entered this space. And even in my short time here, I've heard from really large real estate investment firms that are dipping their toe in and developing communities. And so, I think as you have more capital come into the space, there -- hopefully, if restrictions ease up at all, which people have talked about, I think we'll have more places to put the homes. But it's still -- that will be a challenge moving forward, and it's something that with our community development, we're trying to get ahead of.
Operator: Thank you. And I'm not showing any further questions at this time. I would now like to turn the call back over to Mr. Duncan Bates for any closing remarks.
Duncan Bates: Great. Thank you. No, all I would like to say is I'd like to thank everybody for joining our call, and we look forward to hosting this on a regular quarterly basis in the future. So, thanks for your support.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's conference call. You may now disconnect. Have a great day.